Operator: Good afternoon, ladies and gentlemen, and welcome to the Cathay General Bancorp's First Quarter 2014 Earnings Conference Call. My name is Patrick and I'll be your coordinator for today. [Operator Instructions] Today's call is being recorded and will be available for replay at www.cathaygeneralbancorp.com. Now I would like to turn the call over to Monica Chen, Investor Relations for Cathay General Bancorp. Please proceed.
Monica Chen: Thank you, Patrick, and good afternoon. Here to discuss the financial results today are Mr. Dunson Cheng, our Chairman of the Board, President and Chief Executive Officer, and Mr. Heng Chen, our Executive Vice President and Chief Financial Officer. Before we begin, we wish to remind you that the speakers of this call may make forward-looking statements within the meaning of the applicable provisions of the Private Securities Litigation Reform Act of 1995 concerning future results and events, and that these statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are further described in the company’s annual report on Form 10-K for the year ended December 31, 2013, at Item 1A in particular, and in other reports and filings with the Securities and Exchange Commission from time to time. As such, we caution you not to place undue reliance on such forward-looking statements which speak only as of the date of this presentation. We undertake no obligation to update any forward-looking statements or to publicly announce any revision of any forward-looking statements to reflect future developments or events except as required by law. This afternoon, Cathay General Bancorp issued an earnings release outlining its first quarter 2014 results. To obtain a copy, please visit our website at www.cathaygeneralbancorp.com. After comments by management today, we will open up this call for questions. I will now turn the call over to our Chairman of the Board, President, and CEO, Mr. Dunson Cheng.
Dunson Cheng: Thank you, Monica, and good afternoon to all. Welcome to our 2014 first quarter earnings conference call. This afternoon Cathay General Bancorp reported net income of $31.3 million for the first quarter of 2014, an 8.7% increase when compared to a net income of $28.8 million for the first quarter of 2013. Diluted earnings per share increased 30% to $0.39 per share for the first quarter of 2014, compared to $0.30 per share for the same quarter a year ago. In the first quarter we experienced strong loan growth. Gross loans increased $218 million in the quarter, compared to a decrease of $65 million in the first quarter of 2013. The increase in loans in the first quarter represents a 10.8% annualized increase from the fourth quarter of 2014 -- sorry, for the first quarter of 2013. The driver of the increase came from CRE loans which increased $170 million while single-family mortgages grew by $86 million and construction loans by $32 million. C&I loan decreased by $68 million, mainly from the payoff of one large CD secured loan. With the termination of our smart mortgage program, we are not expecting any meaningful increase in our single-family mortgages. However, our current expectation of loan growth for 2014 will be about 8%. For the first quarter 2014, our total deposits increased $251 million to $8.23 billion from $7.89 billion at December 31, 2013. The increase represents an annualized increase of 12% over the fourth quarter of 2013. Our core deposits increased by 2.19% or $99 million. In 2013, we signed an agreement to purchase a branch in Richmond district in San Francisco. This will give us a second branch in the city. Total deposits at the branch are about $36 million. We expect the purchase of this branch to be completed in the second quarter. On March 17 we opened our second branch in Brooklyn, at the fast-growing area in Bensonhurst. We also relocated our Sacramento branch on March 31 to a more central district in the California capital. Cathay Bank is committed to open or acquire new branches to better serve our customers. Since our core conversion in July 2013, we have taken steps to make fuller use of the new systems capability to streamline our workflows. Starting with the second half of 2014, we expect to begin to realize additional operating efficiencies. We shall apply part of the cost saves to develop more business in part to lower our efficiency ratio. In the first quarter, our efficiency ratio was 49.44%. With that, I will turn the floor over to our Executive Vice President and CFO, Heng Chen, to discuss the first quarter financials in more detail.
Heng Chen: Thank you, Dunson, and good afternoon everyone. For the first quarter we announced net income of $31.3 million or $0.39 per share. Our net interest margin was 3.38% in the first quarter of 2014, compared to 3.30% in the fourth quarter of 2013, and compared to 3.35% for the first quarter of 2013. During the first quarter, interest recoveries and prepayment penalties added 5 basis points to the net interest margin, the same as during the fourth quarter. During January 2014, we repaid $100 million of structured repos with the average rate of 3.5% at a prepayment cost of $3.4 million, which were offset by security gains. From July 2014 to January 2015, $300 million of structured repos with the average rate of 3.97% are scheduled to mature, which should help further improve our future net interest margin. The maturities are $100 million, with a rate of 4.78% in July, $50 million at 3.75% in September, $100 million at 3.5% in November, and $50 million at 3.5% in January 2015. Non-interest income during the first quarter 2014 was $8.6 million, excluding security gains of $6 million. Non-interest expense, excluding costs associated with redemption of debt, increased by $1.2 million to $44.7 million in the first quarter of 2014, compared to $43.5 million in the same quarter a year ago. The increase was due to a $1 million increase in legal expense in the first quarter of 2014 for two litigation matters. We have implemented other enhancements in our data processing capabilities since the completion of the core conversion on July 15, 2013. Starting with the second half of 2014, we expect to begin to realize operating efficiencies provided by our new core system in both our branch network as well as in our backroom operations. At March 31, 2014, our tailwind leverage capital ratio increased to 12.7%. Our tier 1 risk-based capital ratio decreased to 14.96% and our total risk-based capital ratio decreased to 16.28%. Our ratios significantly exceeded well-capitalized minimum ratios under all the regulatory guidelines. At March 31, 2014, our tier 1 common risk-based capital ratio was 13.63%. Net charge-offs for the first quarter of 2014 was $4.4 million or 5 basis points of average loans, compared to net charge-offs of $8.3 million in the fourth quarter of 2013 and $2.7 million in the same quarter a year ago. Our loan loss provision was zero for both the first quarter of 2014 and the first quarter of 2013. Our non-accrual loans decreased 15.4% or $12.8 million during the first quarter to $70.4 million or 0.85% of period-end loans, as compared to the fourth quarter of 2013. Dunson?
Dunson Cheng: Thank you, Heng. We will now proceed to the Q&A portion of the call.
Operator: [Operator Instructions] Your first question comes from the line of Joe Morford with RBC Capital Markets. Please proceed.
Joe Morford – RBC Capital Markets: Thanks. Good afternoon everyone.
Dunson Cheng: Hi, Joe.
Joe Morford – RBC Capital Markets: The first question was just on the loan growth. A big part of it came from the CRE portfolio, and I just wondered if we could get a little more color on, the type of projects that you were lending on, the markets, and the kind of pricing you were getting as well.
Dunson Cheng: Joe, this is Dunson Cheng. The mix of the CRE increase is pretty diversified. We've been doing that for a number of years. We have shopping center, offices, hotels, and it's quite a diverse mix, and that is what we have been experiencing. And with regard to pricing in the first quarter, this was a - somewhat an increase in loan interest with fixed-rate loans, which is something that we are trying to deter. And typically those are five-year fixed and then -- for the first five years, prime based in the next five years. And pricing-wise, I haven't seen much deterioration from the fourth quarter. And as a matter of fact, as treasury ramped up, went up, we are seeing some of our five-year fixed-rate loans closer to 5%.
Joe Morford – RBC Capital Markets: Okay. Thanks, Dunson. I guess the other question I had was for you, Heng, on the expenses. The salary and benefits were up about $2.5 million from the fourth quarter. And I just wondered kind of how much of that, if any, was seasonal for benefits or type of that stuff and what's kind of a good run rate to build off of?
Heng Chen: Yeah, Joe. We had about $1 million catch-up adjustment on the bonuses, which were for last year. So that should be non-recurring. You know, we have a similar problem in the first quarter last year, and in part because we fully repaid TARP in the -- on September 30th and we had some calibration issues on the right bonus accrual. Then in terms of the FICO tax, we'll have -- we paid the bonuses last Friday. So that's in the second quarter. So the FICO impact for us is maybe $500,000 or $600,000. So that will be in Q2. And then lastly, we have some restricted stock that's amortization that's going to get completed in the second quarter of this year. So that's -- those are kind of the moving parts. And then lastly, we -- our salary increases are effective April 1, and our target is 3%, for officers.
Joe Morford – RBC Capital Markets: Right.
Heng Chen: Yeah.
Joe Morford – RBC Capital Markets: Okay. That's helpful. Thanks so much, Heng.
Heng Chen: Okay. Thanks, Joe.
Operator: Your next question comes from the line of Brett Rabatin with Sterne Agee. Please proceed, your line is open.
Brett Rabatin – Sterne Agee: Hi guys. Good afternoon.
Dunson Cheng: Hi, Brett.
Brett Rabatin – Sterne Agee: Wanted to maybe talk a little bit about expenses a little more. Just wanted to get a little more color around, I know we've been having this conversation for two quarters about the improvement in efficiencies that you're going to get with the new core system. But I was just hoping for maybe an update on where you thought the efficiency ratio could go in the back-half of the year, and then maybe just also considering the fact that you're continuing to open some branches. I know we kind of talked about having an offsetting impact. But maybe just a little thought around your efficiency ratio as you go on to the back half of this year.
Heng Chen: Yeah. Well, Brett, I think there's two parts. One, we expect our revenue part to increase. We have this $100 million that will mature in, I believe, on July 7, at 4.95% or whatever. So that will help on lower our efficiency ratio. And then in terms of the cost saves, as I mentioned at some of the conferences, we've taken a look at our branch footprint in how we deliver customer service in our branches, and over the last three or four years there's been a significant migration to the internet for us as well. So we find that we're now putting in a benchmarking model that measures branch staffing, you know, by time of day and so forth. So we think we'll have quite a bit of savings. We're rolling it out in waves and in the second half of the year as we go through and optimize our branch staffing, as well as our backroom operations. So I think that's sort of the, you know, and in the backroom for example, our wire room, we -- there's been some improvement in processes that will save some duplicate work in the wire room, and as well as from the core system where the no processing is, as we learn the system better, there's going to be more streamlining on that. So with all that, I mean, we don't -- we're not going to give out a target efficiency ratio but it's -- I think we're optimistic that with some of these other environmental costs which were fairly high in the first quarter, that we can probably see maybe a 2% drop in our expenses in the second half.
Brett Rabatin – Sterne Agee: Okay. And then the other thing, you mentioned prepay in the C&I portfolio. What would the growth have been or what would that look like without that prepayment, i.e. how big was that loan? And then what does the pipeline look kind of for the C&I piece?
Heng Chen: Yes. That piece of [ph] loan I believe, I'm just doing this from memory, about $53 million. And so you have to add that back. That was a CD secured loan. And then the pipeline, the commercial real estate pipeline is very strong. So one reason is, with these changes in interest rates, we have a rate lock pipeline which -- where the borrower pays us 1%, and that's non-refundable if they don't close the loan. And those are generally 45-day rate locks. So we see a pretty strong pipeline that's paid for. So we're optimistic with -- we're pretty confident that will close for CRE.
Brett Rabatin – Sterne Agee: Okay, great. Thanks for the color.
Heng Chen: Okay.
Operator: Your next question comes from the line of Aaron Deer with Sandler O'Neill. Please proceed.
Aaron Deer – Sandler O'Neill: Hi. Good afternoon guys.
Dunson Cheng: Hi, Aaron.
Aaron Deer – Sandler O'Neill: Heng, just following up on Brett's question on the commercial pipeline, how about on the C&I side? Is there any expectation that we see some better gains there?
Dunson Cheng: Yeah, Aaron, this is Dunson Cheng.
Aaron Deer – Sandler O'Neill: Hi, Dunson.
Dunson Cheng: The C&I loans, going back into the first quarter, was pretty strong, because if you recall in the previous years, the first quarter, typically we see a pretty large decrease in C&I balances because of our trade customers, collecting on their ARs and pay down the loan. But last quarter the effect of that was not as big. And that just says that our customers are using the line much more -- much at a higher degree. And the C&I loans by no means is easy to acquire, but, however, looking at our pipeline, I'm still pretty optimistic of the continuing growth of C&I.
Aaron Deer – Sandler O'Neill: That's great. Thank you, Dunson. And then I'm curious, obviously you're looking to grow the San Francisco market here. Can you talk about what your current loan footings [ph] are here in the Bay Area, and kind of to what size you'd like to see this market grow?
Heng Chen: You know, Aaron, I think we have it as Northern California, and Kim is here, I think -- I thought it was like 12% of our loans or something like that, which will be about 600 or 700 --
Kim Bingham: Yeah. It's about a third of our California exposure is in Northern California.
Heng Chen: But it's mainly outside of the City of San Francisco, so.
Dunson Cheng: And Aaron, what we find is that most of the businesses are really centered around the Bay Area and not in the city proper. However, the city itself is a good deposit-raising area. So I -- it's really difficult. I don't think that loans generating from the San Francisco City would be -- will have a big impact on us.
Aaron Deer – Sandler O'Neill: Okay. That's helpful. I appreciate the color. Thanks guys.
Dunson Cheng: Okay.
Operator: Your next question comes from the line of Lana Chan with BMO Capital Markets. Please proceed.
Lana Chan – BMO Capital Markets: Hi, good afternoon.
Dunson Cheng: Hi, Lana.
Lana Chan – BMO Capital Markets: Hi. I wanted to ask, as you go through DFAS [ph] with the regulators, can you remind us what your I guess capital plans are for some of the use of the excess capital --
Heng Chen: Yes. Well, on the DFAS [ph], we -- Raz [ph] who's sitting right behind me, our Deputy CFO, that's almost a full-time job for him. But we submitted it at the end of the quarter, yeah, and so they -- we can't talk about. There's been a lot of review of our particular submission, so it's a learning -- it's -- I guess we turn in the capital plans before to the regulators and the DFAS [ph] review is much -- it's a different process. And a lot of the focus initially for us is mainly on the process as to balancing procedures, review procedures, the fact that the -- that our Excel templates, to make sure they're linked so that there's no input errors and things like that. So with that, as you know, for the $10 billion to $50 billion banks, the regulators will not -- one, this year, the results are not going to be public. And two, we're not going to get a yes or no. We would get -- I know we'll get suggestions and recommendations to improve our process. But in terms of capital, you know, our -- one, with our strong loan growth, our capital ratios actually drop slightly in the first quarter. So the -- what we -- sort of in general order we want to increase the dividend, and DFAS [ph] will have impact on how much we can pay. So our goal long term is to get it back up to 30% of the prior year's earnings. Then we have loan growth, as I mentioned before. So that should keep our capital ratios from building given what we see in our pipeline. And then we hope to be able to do occasional acquisition here and there, mainly for cash. And then lastly, I think based on the last couple of conferences I went to, the investors I have talked to sort of discouraged banks from buying back stock at these price-to-book multiples. So we've taken that input and that's, you know, we may do some buyback to offset stock option dilution, but -- so that's kind of where we are.
Lana Chan – BMO Capital Markets: Okay. And any thoughts or are you getting any feedback from the regulators potentially about the loan-to-deposit ratios that are near or above 100%? We're hearing some concern from the regulators from some other banks that they want to see that coming down.
Heng Chen: We, our internal policy is that our loan-to-deposit ratio is -- should not exceed 100% net loans to deposits. So we've been at about 90% from last two or three quarters. And we're fortunate that our core deposit -- our deposit growth has more or less kept in line with our loan growth. Here in the second quarter, because we see pretty good loan growth, would have a -- we've not had a deposit promotion for many years. We're going to do a deposit promotion that's tied to one, two and three-year CDs, mainly one and two-year CDs, where we pay additional spread, if they bring in a now [ph] account. So to re-summarize, we have not gotten any input as to lowering our loan-to-deposit ratio.
Dunson Cheng: Yes. Lana, this is Dunson Cheng. And for 2013, our loan growth was about -- will be something like 8%, something like that, and the first quarter was a bit higher. But I think the -- my guess is that the regulator would pay more attention if your loan growth is, I don’t know, 15% or 20% higher. And as Heng mentioned, in addition to promotion, we are focusing more and more energy on deposit gathering. And that's why you're seeing that we are buying branches [indiscernible] deposit at those branches. So that's one of our strategies, to generate deposits.
Lana Chan – BMO Capital Markets: Okay, thank you. Very helpful.
Heng Chen: Thank you.
Operator: Your next question comes from the line of Gary Tenner with D.A. Davidson. Please proceed.
Gary Tenner – D.A. Davidson: Hi, good afternoon.
Dunson Cheng: Hi, Gary.
Gary Tenner – D.A. Davidson: I just had a couple of follow-up questions on the expense lines, particularly the professional services expense decline this quarter from the fourth quarter, but I thought it was going to be declining more coming out of the spend on the initiatives. Is that $5.2 million a run rate that you would expect for the remainder of the year or should that number itself come down more?
Heng Chen: Yeah. Gary, this is Heng Chen. There's a couple of things. One, the legal expense was a little higher than -- we expected that to drop in future quarters because of the litigation accruals and payments. And then I believe we had something like a couple of -- $200,000 or $400,000 of conversion-related professional expense that we booked in the first quarter. So that should be the last of it.
Gary Tenner – D.A. Davidson: Okay. So the $1 million of litigation expense, that was captured on that line item, part of the $5.2 million?
Heng Chen: I believe that litigation expense would be other -- other operating. It's not professional --
Gary Tenner – D.A. Davidson: Right. Okay. Fair enough. And then you'd said earlier I believe that you expect that, I just want to make sure I heard this correctly, that you expect to reduce expenses by 2% in the back half of the year, or is it the efficiency ratio by 2 percentage points in the back half of the year?
Heng Chen: Well, I -- yeah. Well, actually what I meant to say is that the savings from these streamlining initiatives we believe are 2%. As Dunson mentioned, some of it we may reinvest in new business development efforts. So it's not -- it's certainly not a change in the efficiency ratio but a savings as a percentage of our expense base.
Gary Tenner – D.A. Davidson: Okay, off the full first quarter expense --
Heng Chen: Right.
Gary Tenner – D.A. Davidson: Okay. All right, perfect. Thank you.
Heng Chen: Yeah.
Operator: Your next question comes from the line of Julianna Balicka with KBW. Please proceed.
Julianna Balicka – KBW: Good afternoon.
Dunson Cheng: Hi, Julianna.
Heng Chen: Hi, Julianna.
Julianna Balicka – KBW: Hello. I have a couple of quick follow-ups on deposits. I'm sorry, I missed your full remarks about the gateway branch that you're acquiring. What was the expectation of deposits that are going to be coming in during the second quarter?
Heng Chen: About $36 million.
Julianna Balicka – KBW: $36 million. And that San Francisco branch that you referenced that you're opening up a second branch outside of that, right?
Heng Chen: No, no, that is the Gateway branch. We --
Julianna Balicka – KBW: That is the Gateway branch.
Heng Chen: On Clement Street, yes.
Julianna Balicka – KBW: That's right, that's right. And then in terms of your deposit growth this quarter, retail deposits increased. So was that your annual Chinese New Year promotion or was that something else? And at what rate were the new loans coming in at -- I mean new deposits?
Heng Chen: Our Chinese New Year promotion, I heard it was not that successful. It was -- Peter, I think it was a 14-month CD or something like that and --
Unidentified Company Representative: Thirteen-month CD.
Heng Chen: Yeah, 13-month CD. And it got a little -- I think it's the Year of the Horse, but it's not, once again, we didn't get that much in a way of deposits, so.
Julianna Balicka – KBW: So there wasn't any particular promotion driving the retail deposit growth this quarter as opposed to the other kind of categories?
Heng Chen: Well, we had $102 million of broker CDs which it'll show up in the under $100,000 deposit.
Julianna Balicka – KBW: I see. Okay, I understand. And then --
Heng Chen: Yeah. Our broker CDs -- yeah, go ahead.
Julianna Balicka – KBW: No, go ahead. Sorry. I didn't mean to cut you off.
Heng Chen: Yeah. So we generally -- our intent on the broker CDs is to add duration to our liability book. So most of them are 2-1/2 year to three-year broker CDs.
Julianna Balicka – KBW: Two-and-a-half to three-year. And what kind of rate are that?
Heng Chen: About 1%.
Julianna Balicka – KBW: One percent. Okay. And this might be a micro-question, but the $1 million increase in legal expenses, that's something that will go away next quarter or?
Heng Chen: Yes, almost all of it. Yeah.
Julianna Balicka – KBW: Okay. And kind of going back to the DFAS [ph] discussion, maybe a little bit on the stress tests. In terms of what you're internally submitting for expected losses from CRE versus any feedback from the regulators, are there any conversations along those lines?
Heng Chen: Can you repeat the question? On the --
Julianna Balicka – KBW: Yeah, sorry. On stress testing with the regulators, are you having any conversations with them? Is there any feedback with them as far as your stress case expected losses on CRE versus their viewpoint?
Heng Chen: Not quite yet as to that particular one. I mean we -- as I mentioned before, right now the discussions are ongoing, but right now the focus is more process and more on the C&I portfolio because of just, you know, certain things that are -- and then CRE. Once again they haven't -- it may be just a matter of days, but they really haven't -- we haven't had much discussion there. Our results are I think a little bit higher than they were in the past in terms of a percentage. But that's -- that I believe is due to the guidance as to the severity of the recession as it impacts CRE values.
Julianna Balicka – KBW: Got it. Okay. Thank you very much.
Heng Chen: Okay. Great. Thank you.
Operator: We have a follow-up question from the line of Brett Rabatin with Sterne Agee. Please proceed.
Brett Rabatin – Sterne Agee: Hi. I missed it if you discussed it, but just the -- what you sold in the securities portfolio during the quarter, kind of what [indiscernible] the gains in.
Heng Chen: Yeah, right. We sold about $120 million of 15-year MBS and then we sold about $10 million of corporates, about $10 million or $15 million corporates. Those we had very low rate of gains. And then we sold about $900,000 of agency preferred stock. And that's all gain, so -- almost all gain.
Brett Rabatin – Sterne Agee: Okay. Great. Thank you.
Heng Chen: Okay. Thank you.
Operator: At this time there are no questions in the queue. [Operator Instructions] Thank you for your participation. I will now turn the call back over to Cathay General Bancorp's management for closing remarks.
Dunson Cheng: Okay. Thank you, and thank you for joining us for this call. And we look forward to talking with you at our next quarterly earnings release.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.